Operator: Good day, and thank you standing by. Welcome to the Hexagon Fourth Quarter Report 2024 Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be the question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker today, Norbert Hanke. Please go ahead.
Norbert Hanke: Good morning, and thank you for joining our fourth quarter and full year 2024 conference call. I'm Norbert Hanke, Interim President and CEO of Hexagon and I'm joined by Chief Strategy Officer, Ben Maslen; and our Chief Financial Officer, David Mills. For those of you I have not met, I have been with Hexagon for over 20 years in a number of roles, including being President of the Manufacturing Intelligence division and most recently as Chief Operating Officer. Therefore, I have a pretty good understanding of Hexagon, about its markets, customers and its potential, and I was happy to step in as Interim President and CEO during this period of leadership change. Now turning to our performance this quarter. In Q4, we have delivered a modest organic growth of 1% with strong growth in software and new product launches, offsetting the weakness in key markets, which has been seen throughout 2024. The gross margin maintained to be very strong at 67%, reflecting innovation driven pricing power and a strong product mix. The operating margin, we are good at 31% reflecting good internal cost control and the favorable currency environment. The headline of this quarter is the cash conversion of 116%. This reflects the benefit of the operational improvements and our focus on these, as well as usual seasonality. For the full year 2024, we have delivered flat revenues with 30% operating margins and a cash conversion of 91%, being with this slightly above our annualized target of 80% to 90%. This represents a strong performance in a very challenging key market environment throughout this year. With this achieved, the Board are proposing 8% increase in the dividend to EUR0.14 per share. We have made several exciting acquisitions to strengthen our market leadership position. We will revisit these in more details later on. There have also been some important appointments. Bjorn Rosengren, has been proposed by the Nomination Committee as Deputy Chair and will be available for election at the AGM in May. It is intended that, he will ultimately succeed Ola Rollen, when he steps down as Chairman in 2026. I'm also pleased to announce that Anders Svensson will be joining as President and CEO of Hexagon from July 20, 2025. Finally, the investigation into the proposed separation of ALI is still ongoing. Today, we cannot give you any update, but we are committed to communicate this to the market during Q1. So in summary, a good busy quarter at Hexagon and we will now explore this quarter in more details. Please, turning to the next slide. A few comments now on geographical trends, which we have seen in the quarter. We continue to see broad weakness in the construction market globally. Also, there was a small rebound in China. New products helped us to mitigate some of the weaknesses in the construction market and they generated around 2% in Geosystems organic growth during this quarter. Automotive markets remain tough, particularly within EMEA and in the US Manufacturing as a whole returned to growth in Asia with growth in China and a very strong performance in India. Software grew well across geographics, in particular the OnCall public safety product, which drove growth in the US and Asia. I will now hand over to Ben, who will talk about the division's performance.
Ben Maslen: Thank you, Norbert and good morning, everyone. If we go to Slide 5, here you have the overview of divisional performance during the quarter. As you can see, we saw a mixed development in terms of organic growth, with ALI and SIG benefiting from good momentum in their underlying end markets. Manufacturing Intelligence and Geosystems still seeing the effects of a cyclical slowdown in their key verticals. As Norbert said, across the Group, we continued to see good momentum in the software product lines and recurring revenues overall, which increased by 7% organically during the quarter. We also saw a good margin performance across the Group, despite these mixed end markets, balancing good cost control with investing in future growth opportunities. If we go to Slide 6, this is the time series of divisional performance. For your reference, you have these numbers already. We can go on to Slide 7, which is the overview of Manufacturing Intelligence. MI reported revenues of EUR530 million, which were down 2% organically compared to last year. We note that during Q4 we saw a similar development in terms of orders as we did for shipments, so there was no real adjustment in terms of a backlog. The division reported EBIT of EUR159 million and an increase in the operating margin to 30%, helped by good cost control and recent currency moves which mitigated the weaker demand backdrop. By product, we saw good growth in the Manufacturing and Software portfolio which partly compensated for the weakness that we saw in the quarter in the sensor and robotic solutions portfolio. By segment, as Norbert said, we saw good momentum in aerospace globally, a stable development in general manufacturing, but continued weakness in global automotive and related supply chains, especially in Europe but also to a lesser degree in North America. China, MI was relatively stable during the quarter. We go on to Slide 8 with the Asset Lifecycle Intelligence. They had a strong quarter delivering revenues of EUR228.8 million and 10% organic growth with good momentum in recurring software sales which grew double-digit and also a strong end to the quarter in perpetual software deals. EBIT increased to EUR87.4 million and the EBIT margin was 38%, matching last year's very strong level, despite the additional investments we're making in product lines like SDx. The business saw good growth across all geographies and product areas, but especially in design and engineering software and enterprise asset management software which both grew at double-digit rates. If we go to Slide 9, we have Geosystems. They reported revenues of EUR400 million during the quarter, that represented a 2% organic decline compared to the prior year. Despite this decline, EBIT increased to EUR124.3 million and the operating margin reached 31%, reflecting the benefits of last year's efficiency program as well as currency tailwinds. By segments, construction markets continued to remain weak in EMEA and North America. That was offset to a degree by stabilization in the quarter in China and growth we saw in the rest of Asia. Geosystems saw continued growth in software sales and good momentum in recurring revenues, and they also saw a positive contribution in the quarter from new product launches, including the iCON trade suite that Norbert will mention later on. If we go to Slide 10, Autonomous Solutions. They had revenues of EUR146.5 million during the quarter, which was a 2% decline against what was a tough comparative a year ago. EBIT came in at EUR46 million, representing an EBIT margin of 31%. This decline compared to last year reflects both the volume drop but also a different product mix this year to last year. In the Autonomy & Positioning business area, we saw ongoing weakness in precision agriculture. This was offset by growth in marine, aerospace and defense markets. In mining, we saw a slight decline in the quarter, reflecting tough comparatives a year ago and a customer pause ahead of product upgrade cycle we expect for 2025, which we think will drive resumed growth. We also booked the first revenues from the Australian Autonomous Road project, that we announced last year. If we go to Slide 11 for Safety, Infrastructure and Geospatial, now they had a very good quarter, delivering revenues of EUR140.8 million on organic growth of 11%. Given the good growth, the division delivered EBIT of EUR41.9 million and an EBIT margin of over 30%, both improvements on last year's record result. The growth acceleration was driven by public safety, where the division is now delivering the strong backlog of orders for the OnCall platform, which it has won over the last few years and where the pipeline of new potential projects remains very strong. Growth was good across all geographies and especially in Asia. We go to Slide 12, staying with the divisions, we have a few slides now the acquisitions that we've announced recently. Firstly, in Autonomous Solutions, we announced during Q4 the acquisition of indurad, a leading provider of radar technologies used to measure ore flows, position objects and avoid collisions between vehicles in a dynamic mining environment. Combined with our existing portfolio, this will help support our customers on their journey towards more autonomous mines. The acquisition closed in late November last year. Slide 13, in Manufacturing Intelligence in December, we announced the acquisition of Geomagic and that's a suite of software tools that create high quality 3D models from multiple sources, including laser scanning. These models can be used to help build CAD design models or to accurately measure and inspect finished parts for quality control purposes, which obviously fit well with our existing solutions and we expect this transaction to close early in the second quarter. Slide 14, we have an exciting acquisition announced in Autonomous Solutions in early January. Septentrio is a leading provider of GNSS or advanced positioning technologies, especially focused on applications with low size, weight and power applications. This will give Hexagon the opportunity to expand in newer, fast growing markets like airborne delivery and security drones and ground-based robots, where very accurate positioning is needed. This acquisition is expected to be completed during the second quarter. And then finally, Slide 15, an acquisition within ALI that we announced last week. CAD Service is an existing partner for ALI, providing advanced visualization tools to integrate CAD, BIM and 3D reality capture data into our asset management software platform. As customers move from visualizing their assets in three dimensions as opposed to two dimensions, having this technology in-house allows us to accelerate the roadmap and integration of those tools. So, welcome to all our new members of the Hexagon team. And with that, I will hand over to David.
David Mills: Thanks, Ben. In the following slide, I would like to take you through the Q4 and full year performance, which despite the continued challenging economic conditions in terms of growth for some of the end markets, culminated the year with an operationally resilient performance, and consequently, an improved EBIT1 margin and a cash flow delivery at the top of our range. Moving on and starting with the income statement for Q4 2024. Stepping through the sales bridge, sales of 1.448 billion is a reported growth of 0.9% with no material impact from FX on sales and a small minus 0.2% impact from structure, given 1.1% organic growth. Gross margin continued to improve up to 66.7% and was delivered by a strong performance, in particular within the software portfolio. Operating earnings increased by 3%, above the reported growth rate to EUR450.3 million with a 55 basis points increase in the margin to a high of 31.1%, the elements of which we will break out in the profit bridge. Interest expense and financial costs now decreasing year-over-year to EUR41 million versus EUR49 million gave a delta on earnings before taxes of plus 5%. Taxes being 18% in line with prior year bring us down to an EPS of EUR0.124 also growing 5%. For reference EBIT1 including PPA includes EUR29 million of amortization and so dilutes the EBIT1 percentage by 200 basis points to 29.1%. Moving on to the gross margin, Q4 delivered a further improved gross margin at 66.7% and this brings the rolling 12 months to 66.9% up from 66.1% by 80 basis points, continuing the strong upward trend. The positive quarterly performance being from improved margins in the software portfolio and stabilized margins in the sensor portfolio, enhanced by a positive divisional mix and further improved by the structural divestment. Moving on to the Q4 profitability bridge. Currency has a material influence with a 1.5% accretive EBIT1 impact. This is due predominantly to the net year-over-year transaction impact, which is a positive of EUR22.5 million from a current year gain of EUR12 million against the prior year loss of EUR10.5 million. The impact from translations being marginally positive at EUR0.5 million on sales but with a negative EBIT of minus EUR1.5 million. The moderate translation movements this quarter were driven mainly from an offset of the positive impact of the appreciation of the US dollar by 0.8% and the CNY by 1.3%, where sales exceed cost and continued appreciation of the Swiss franc by 1.9%, which has the opposite characteristics. The structural element was neutral and reflects the net impact of acquisitions less disposal. And in the fourth quarter, the disposal of the hand tool business in MI exceeding the incremental acquired sales of which the material elements were Voyansi and X Watch in Geosystems. The organic sales development was diluted with respect to EBIT1 this period as expected, this being the first quarter comparing against the accelerated efficiency savings in Q4 2023 of EUR20 million. The NRI savings though now at full run rate of EUR43 million per quarter result in incremental savings in Q4 2024 of EUR23 million. And for comparison purposes, this is by -- this is lower by EUR11 million than the preceding three quarters, which averaged EUR34 million incrementally. Moving on to the full year income statement, stepping through the sales bridge, sales of EUR5.401 billion is a reported growth of minus 0.7%, negatively impacted by FX of minus 0.8% and a minus 0.2% net impact from structure, giving 0.2% positive organic growth. Most notably for the year is the gross margin improvement up to 66.9%, an increase of 80 basis points and this was delivered by a broad-based divisional improvement with multiple drivers as mentioned in previous quarters including pricing discipline, the rationalization program and product innovation enhanced by both a positive divisional and product mix and further improved by the structural divestment. Positively, operating earnings were marginally above last year at EUR1,602.9 million and with a 32 basis points increase in margin to 29.7%, the elements of which again we'll break out in the full year profit bridge. Interest expense and financial costs of EUR170 million versus EUR155 million give a delta on earnings before taxes of minus 1%, bringing us down to an EPS of EUR0.433. And again for reference, the EBIT1 including PPA includes EUR112 million of amortization and so dilutes the EBIT1 percentage by 280 basis points to 27.6%, an improvement of 38 basis points over the prior year. Moving into the full year profit bridge. Currency has a 0.2 accretive EBIT impact. This is due to the negative currency translation on sales of EUR41 million having a corresponding EUR23 million EBIT at a margin of 56% combined with the net year-over-year transaction impact, which is a positive of EUR24 million from the net reversal of the prior year loss of EUR24 million and the current year full gain of just EUR6.6 million. The structural element is also accretive and reflects the net impact of acquisitions less disposals for the year with the sales element being negative but the EBIT positive as the acquired businesses generally having above Group EBIT and those disposed conversely lower. The organic sales and EBIT evolution being marginally positive for the year is despite the challenging macro backdrop and thus no dilution impact. This is due to the gross margin improvement in conjunction with successful cost mitigation through the effective implementation of the rationalization program. So with accretive impacts of both currency and structure and managed organic performance, the EBIT1 margin percentage has improved by 32 basis points to 29.7%. Moving on to the Q4 cash flow, which shows improvements in cash generation and conversion over the prior year and cements an excellent full year performance on cash conversion of 91% versus 80% prior year and is at the top of the target range of 80% to 90%. The adjusted EBITDA demonstrates a similar cash generation to the prior year, despite the drop in D&A add-back which comes from lower one-time impairments in the current quarter as the underlying depreciation is increasing as we have seen throughout the year. Capital expenditure increased compared to the prior year, mainly due to capitalized development expenditure. The most significant improvement being the net working capital with a release of EUR140 million versus the prior year release of EUR69 million, which generated an operating cash flow of EUR521.7 million, an increase of 16%, which is the cash conversion of 116% versus 103% prior year. Including cash taxes and interest payments, the improvement in cash flow before non-recurring is 19%. Non-recurring items cash outflow of EUR18.5 million brings an operating cash flow to EUR403 million, up 26%. Moving on to the net working capital, being a release of EUR140 million versus the prior year EUR69 million is a release for the full year of EUR94 million versus a build of EUR78 million in the prior year. This reduced the proportion of rolling 12 months sales to 6%. The constituent elements of the movements being receivables and prepaid increased by EUR35 million and solid Q4 shipments resulting in DSOs at 83 days, which is in the normal range. Inventory decreased by EUR36 million. And as mentioned in Q3, this was a focus and supported the shipments with DII dropping below the prior year. Liabilities increased by EUR64 million with the three DPOs at a level of 61 days. An increase in deferred revenue of EUR72 million which is reflective of the normal billing cycle in software. And finally, accrued expenses are marginally increasing as expected, but a very tempered rate based on overall performance. In the final slide, I want to reiterate the usual seasonal trend, where sequentially Q1 is weaker than Q4, which is the strongest performance quarter from a volume, EBIT and cash flow perspective. So, in conclusion, despite the continuation of the challenging macro environment and consequential muted organic growth, the EBIT1 performance has marginally improved due to the continued positive development in gross margin coupled with cost management through the rationalization program, which has achieved its expected return. In addition, the annual cash conversion was cemented with strong performance in Q4, to deliver marginally above the normal range. And with that, I'd like to hand back over to Norbert.
Norbert Hanke: Thank you, David. Turning now to some key customer stories and wins from this quarter. Let's start with MI. We have here with us SEAT, a long-term customer, who has purchased more of our PRESTO robotic measuring cell to improve digital communications between production sites and their headquarters. By doing this, we are aiming to reduce inspection time by 50% and improve the assembly process. Moving now to the next slide. For ALI, we got some orders from a repeat customer. This global data center hyperscaler purchased EAM for their data center operations already in Q2 '24 and have now returned for more licenses to cover their global hardware design footprint, taking up an additional 1,200 licenses. This kind of repeat business underpins the stickiness and value of EAM products which was growing nicely during this quarter. Turning now to the next slide. I would like now to spend some time on the Leica iCON trades solution, which was launched by Geosystems for the construction industry in September 2024. These products contributed a total of 2% organic growth in Geosystems. These products are focused on ease of use, delivering speed and accuracy. So it can provide simple and complex 3D measurements with a very short setup time, meaning that the product can be used by one individual with minimal training to deliver high quality design and quality control. It is another step in our strategy to deliver products and services that mitigate labor and skill shortages in key workforces. Some initial use cases for this product can be found now on the next slide. So we have listed on as use cases advanced on-site measurements, designing and producing high quality staircases with easy on-site matching, prefabrication of fitted kitchens, of bathrooms -- and bathrooms and improved simplifications. And now to the next slide please. We have here a great OnCall win within our SIG division. Williamson County in Texas have selected OnCall to upgrade their public safety software. This project will enhance collaboration across 13 agencies including fire and police to protect more than 600,000 people and improve emergency response time. Next slide, please. I'm very pleased with the progress we have made in Q4. We have overcome challenging key markets by leveraging innovation to deliver growth and good margins alongside an excellent cash flow. We have continued to invest in the future and start 2025 with several exciting acquisitions, which will fuel future growth and returns. The investigation of the proposed spin of the ALI division and other software assets continues at pace. And finally, we go into 2025 with the opportunity of a refreshed leadership team with skills to unlock the potential of Hexagon in the future. Turning now to my final slide. Here, you will find some dates for your calendar. We hope, as many of you can attend these events, particularly Hexagon Live as there are great showcases for our products and people. Thank you for your time today. And I will now hand over to the operator for questions.
Operator: [Operator Instructions] And now we're going to take the first question and it comes to line of Andre Kukhnin from UBS. Your line is open. Please ask your question.
Andre Kukhnin: Good morning. Thank you very much for taking my questions. I've got two. I'll go one at a time. Firstly, could you just remind us on your positioning in North America in terms of the degree of localization and how you position versus peers there and vis-a-vis the tariffs that are likely coming in now?
Ben Maslen: Yeah. Good morning, Andre. Starting with -- at a very high level, US is around 30% of Group sales and I would say just under 20% of those revenues are imported into the US, so around 6% of revenues overall. Two-thirds of those products come from Europe and mostly Switzerland, and a third of that comes from Canada. In terms of what's coming from Canada, it's very highly specialized positioning products, GNSS and GPS that are often designed into customer applications. So we think it's not -- they're not some products that are easy for customers to switch out. The customer would pay the tariff, that's how it contractually works. So in that area, we don't see a huge potential impact overall. And I think, as I've laid out, the percentage of sales that go into the US overall are a pretty small percentage of Group revenues.
Andre Kukhnin: Very clear. Thank you. And just one trend I've got. In Manufacturing Intelligence, you talk about Americas turning negative, which I found a bit surprising. So I wonder if you could just dig into that a little bit more. And I think against that, I'm just scrolling back to it, you talked about China stabilizing, so maybe if you could just touch on that a little bit on these two trends that America's turning surprisingly negative and China on the other hand stabilizing. Is China kind of finally ended destocking or you started to take share there?
Ben Maslen: Yeah. No, I think in the US, we saw a little bit of a pause in Q4, wasn't dramatic, but it's probably tied maybe to the election and people waiting to see what happens. In terms of orders, there was actually a little bit better momentum. So I think we see probably into Q1 some sequential improvement in the US. If you look at China, it's almost the other way around. I think as we guided at Q3, we did expect a better Q4 in China and that wasn't really a strong view on the economy. That was more the phasing of our deliveries. As we look into Q1 we actually see it the other way around. Not a big change in the underlying Chinese economy, but just we probably won't have the same growth that we had in Q4. So net-net, I think MI looks fairly similar going into Q1 as Q4 overall, probably US a little bit better, China may be a little bit softer and Europe is still relatively weak and moving sideways basically.
Andre Kukhnin: Really helpful. Thank you very much.
Operator: Thank you. Now we're going to take our next question. And the question comes from the line of Joachim Gunell from DNB Markets. Your line is open. Please ask your question.
Joachim Gunell: Thank you. So when it comes to the spin-off, it makes sense to create a more like focused separate company here that allows you to make EPS accretive acquisitions. But can you comment a bit on the RemainCo and the capital allocation plans here? Will software-centric M&A still be a key focus point or I mean for this more like hardware-enabled software business or do you think that we could increasingly target like organic initiatives and be eventually more shareholder friendly on capital distributions?
Ben Maslen: Yeah. Hi, Joachim. I mean, look, obviously that will be decided as we -- if the decision is taken to do the spin and as we go nearer to the point of separation. I think you're right, if for the -- for the company that spun out, assuming that they end up with a higher multiple that reflects the benchmarking against other software peers, it will be easier for them to do, software M&A at similar multiples. I think that's one reason to support the separation. I think the Hexagon Core, I think software is still going to be a part of the DNA of that business. I think it's going to be about integrating the hardware and software more tightly to push into markets where you need real time processing, more autonomy if you think about precision agriculture, mining or in a manufacturing production line. So I think you're going to see continued investment in R&D to drive new solutions in those markets and continued M&A both on the sensor and software side to kind of drive that. And I think if you look at the M&A we've done in the last few weeks, Geomagic which is a software company that goes into MI, is a good example of a continuation of that M&A strategy.
Joachim Gunell: Thanks, Ben. And just when it comes to your software business more in general, both for the spin-off and the RemainCo, what are your thoughts with regards to like potential disruption to [indiscernible] based software pricing and potential shifts from say software-as-a-service to more service-as-a-software via AI agents?
Ben Maslen: Well, that's a good question. No, I think it's a good question further out you look. But I think for us if you look at our business, we operate in very tight niches, we have strong market shares, we're investing in embedding AI in all of our products as well. So I think for us, we more see it as an opportunity to use those tools in our software product set to drive more value for customers rather than something that's going to potentially disrupt us. But obviously we invest a lot and we keep an eye on changes in the market and we're not complacent.
Joachim Gunell: Congrats, and thank you.
Operator: Thank you. And now we're going to take our next question. And the question comes from the line of Daniel Djurberg from Handelsbanken. Your line is open. Please ask your question.
Daniel Djurberg: Thank you, operator, and good morning, gentlemen. Yes, I have a question that relates to also the ALI spin-off and that is if you can on a high level comment a little bit on how the organization, the key customers have thought about this and the reactions that you could tell us about? Thanks.
Norbert Hanke: So far what we have heard that the customer are positive on these kind of things as well, and let's agree, every time when a company is even more focused that gives normally additional momentum from our point of view. So I think that is all good honestly speaking.
Daniel Djurberg: Perfect. Internal as well or...
Norbert Hanke: Internal as well.
Daniel Djurberg: Perfect. And another question if I may. You touched upon the trends you spoke about MI, especially about similar trends, Q1, but perhaps a little bit better in US and less growth in China. But if you talk a little bit on the trends you see in the other segment, i.e., you talked in Q4, for example, we had stabilization in AS and Geosystems and steady demand in ALI and SIG. So should we expect this trend to stay there as well? Thanks.
Ben Maslen: Yeah, look, I think it's a difficult economy to call, right. We don't see it getting worse. But if you look at lead indicators and so forth, there's not a huge amount of momentum there either. So I think it's stable. I think if you look at ALI and you look at SIG, I think we -- we expect they got a lot of recurring revenue. We'd expect to see good growth through 2025. Whether it matches the level we see in Q4, where they had some perpetual deals, we will have to see. But I think those markets look good. I think in Autonomous Solutions, they had a very strong 2023. So this year was always going to be a bit tough in terms of comparatives and some of those underlying markets, if you think about agriculture, have been weaker. I think as we go through 2025 and we launch new products, particularly on the mining side, I think we would hope to see a re-acceleration of growth. MI, I mentioned earlier, I think it's stable and I think the same for Geosystems. We haven't really seen the benefit of rate cuts yet feed into renewed activity in construction markets. I think it's relatively stable. But I think we do have good product launches coming in Geosystems as we go through the year. That will hopefully help us in second half.
Daniel Djurberg: Super. Yeah. Thanks for the highly detailed presentation and the invitations as well. So I'll get back in the queue. Thanks.
Ben Maslen: Great. Thank you, Daniel.
Norbert Hanke: Great. Welcome.
Operator: Thank you. Now we're going to take our next question and it comes from the line of Alexander Virgo from Bank of America. Your line is open. Please ask your question.
Alexander Virgo: Yeah. Thanks very much. Good morning, everybody. Appreciate taking my questions. Could I start with gross margins, please? I was surprised to see gross margins tick down in Q4, particularly given some of the positive tailwinds that you flagged quite rightly, I think in terms of richer software mix and innovation, et cetera, et cetera. So perhaps you could just talk a little bit about that and how we think about that rolling into 2025? The second question, just on cash flow, David, I wondered if you could just go through this working capital inflow again for us. It seems incredibly sizable. I appreciate you touched on it a little bit, but I appreciate understanding this deferred revenue movement as well, maybe in a bit more detail, because I want to try and understand how sustainable that movement is into 2025? And then final clarification, I guess. Just wondering how much product contribution at the Group level in that organic growth number you printed in, in Q4, which is obviously a little bit better than we thought it was going to be. I guess basically trying to size that for 2025. Thank you very much.
David Mills: Okay. So I guess I'll start with the gross margins. Yeah, I mean, so just to be clear, I mean, the Q4 gross margin was positive year-over-year, so 66.5% up to 66.7%. I think your question is probably coming more on the sequential level because we had some very, very strong margins in Q2 and Q3, where we were running at 67.3% and 67.1%. But I mean, if we look at the full year, we were up at 66.9% versus 66.1% prior year, that's an 80 basis points improvement over the full year. So, I mean, it was a very strong year from the gross margin perspective. Q4 may have been not quite as high as Q3, but, we have a different product mix. We saw a little bit of dilution from a couple of elements in the AS, the road train element had a slight dilutive impact, but overall MI was completely flat on margins year-over-year, which I think is pretty good. We saw a positive uptick in the software and a positive contribution from the mix overall. So I think it was a positive margin and I'm very happy with the year-over-year 80 basis points improvement in gross margin is in line with our normal uptick year-over-year. Then back to the cash flow question. And I agree, Alex, it is an extremely strong inflow in the quarter. Effectively we moved positively in all of the metrics. So, very strong on a DII, good on a DSO, and good on a DPO. In terms of the deferred revenue, which I think you specifically mentioned, I mean, deferred revenue increases in Q1 and in Q4 and decreases in Q2 and in Q3. That's the kind of normal trend that you would. And we talked about it. We've had strong software shipments, so some software business. So, naturally you have an increase in deferred revenue as that happens. We expected the inventories to go down. We had good improvements on the receivable side, decent collection. So I think all in all, it was a strong performance.
Ben Maslen: Alex, hi. On the new products, I mean, it's a little bit difficult to pin down exactly right. Its definition of what's new and what's not. And I would say, it probably contributed 2% growth to Geosystems and that's mostly the iCON product range that Norbert mentioned. PRESTO, that we launched last year in Manufacturing Intelligence. They have longer implementation cycles. So I think we have a nice backlog, hasn't yet really contributed to revenues. And obviously in SIG, the pickup we're seeing in OnCall, this was a product launched a few years ago, but the implementation cycles are very long. It's only really now starting to feed into revenues. But I think across the Group, in a tough economy, you're starting to see the benefit of these new products coming through.
Alexander Virgo: Okay. Thank you very much, both of you. Can I follow it up just quickly with a question on what China actually looks like? Ben, I think you talked about market environment not really changing and a phasing issue for you guys in Manufacturing Intelligence. But what are we actually seeing in terms of dynamics on your end markets in China with respect to sequential momentum, I guess?
Ben Maslen: Yeah, I mean, I think if you look back at last year, the China business did very well. I mean, it was, I think, organically down 1% for the year against the very good growth year in 2023. So, compared to other companies to kind of hold it relatively flat in what was a difficult economy, I think is a great effort. If you look at the end markets for last year, I think we had good growth in general industry. We had good growth in electronics. The bit that was weaker was automotive in China as it was globally. So there are a lot of moving parts. Looking into 25, we don't see a great change sequentially at the moment. I think there is some stimulus going into construction markets and it helped Geosystems a little bit in Q4. I wouldn't say it's a great market. And most of our China business is more on the discrete manufacturing side anyway, so it doesn't help too much. And I think on the discrete side, it's more -- the economy moving sideways for us. We don't have easy comps in '25. And as we tried to demonstrate at the investor visit in China last year, using customer success, expanding the products into different markets to find growth, it's more of a push than a big macro swing, I would say.
Alexander Virgo: That's very helpful. Thank you very much, everyone.
Operator: Thank you. Now we're going to take our next question. And the question comes from the line of Sven Merkt from Barclays. Your line is open. Please ask your question.
Sven Merkt: Great. Good morning. Thank you for taking my questions. You called out a strong performance in India. I presume it's at least partly related to geopolitics, but curious what else you're seeing there and how sustainable you think this level of growth is? And then my second question is just on the capitalization, the increase to over EUR130 million in the quarter from around EUR120 million in the prior quarter. And I'm just wondering if this is an outlier or if we should expect that capitalization will continue at this level? Thank you.
Norbert Hanke: Perfect. Thanks. Regarding India, we see an underlying growth, particularly on MI, honestly speaking, because we are seeing a lot of movements into India regarding manufacturing in the sense, okay, not only the famous electronics, but as well all over and the manufacturing sites are increasing there. We have seen this for a longer period of time. We have now set it up correctly in our point of view and at the moment we are seeing that momentum, particularly in MI.
David Mills: Yeah, and on your capitalization question, I mean, as you saw in Q4, we had marginally higher spend, up on the run rate by about EUR10 million. So the spend was EUR223 million. So the cap was consequently EUR132 million, as you mentioned. But just to give you some context, the full year capitalization rate is 56.8% and the prior year capitalization rate was 56.2%. So effectively we're at a 56% rate, same this year as we are last year. Obviously it fluctuates depending on what's moving through the IAS 38 process on a given quarter. But it's overall very like-for-like in comparison.
Sven Merkt: Great. Thank you.
Operator: Thank you. And now we'll proceed to the next question. And it comes from the line of Viktor Trollsten from Danske Bank. Your line is open. Please ask your question.
Viktor Trollsten: Yes. Thank you, operator, and good morning, everyone. Firstly, I would like to ask on ALI and perhaps both, the EAM part of it and also call it underlying ALI. You showed on the capital markets that, around the SaaS transition that EAM has went through and I guess also call it Intergraph. What I'm curious about is how much was that effect in 2024 and thinking around it into 2025, when that tailwind on growth, as you now should be mostly through the transition, if you see what I'm up to here?
Ben Maslen: Yeah. Hi Viktor. Thanks. No, it's a good point. I mean when we bought EAM, I think SaaS was around under 40% of revenues. I think for '24, it ended up being just north of 60%. So that transition is ongoing. We do still have some perpetual business and some maintenance that will need to transition over time. But I think it is more SaaS now and the underlying growth rate in SaaS has been faster. I think for ALI as a whole generally we see that transition too. We are moving customers gradually towards subscription revenues. So there was much faster growth during the year in all the products in subscription than there was in perpetual. But we obviously still have some products and some customers where they prefer to buy perpetual revenues. What I would say for ALI is if you look at the quarter and the year, the software products did grow quickly, more quickly than the headline growth, services was a little bit weaker, partly reflecting the cycle, but also we're trying to push more service revenue to our partners and focus more on the software. So the underlying growth in software was overall quicker.
Viktor Trollsten: Yeah, superb, and appreciate that. And I guess I will try to do the math but I guess then it would be possible to argue that with 60% of them now SaaS, it is like ALI underlying is also increased the share of SaaS. I guess that should be the tailwind on organic growth. Let's say add 1 percentage point, 2 percentage point to the growth number for ALI into 2025. Or is it anything that I'm sort of missing?
Ben Maslen: No, I think it's fair that there is a drag on ALI's growth from that transition and we haven't quantified it, but it is -- yeah, your math is probably not unreasonable. Overall, for ALI, recurring is now over 70% of revenue. So as that increases the kind of the predictability, the business gets better. And yeah, I would say the underlying growth rate.
Viktor Trollsten: Okay. No, that's super. And then secondly, on MI margin, I thought it was quite -- I'll call it EBIT margin was quite strong now in -- now in Q4 actually up year-over-year. I guess that there is some currency tailwind. But I guess what I'm after is what's the underlying development excluding currency in MI? Yeah, if you say what I'm after.
David Mills: Yeah. Sure. And you're right with your currency comments. I mean the majority of the currency is split between Geosystems and MI. So just to give you some context that you have that effect definitely in both of those. But also, I mean, MI was one of the main elements within the restructuring and rationalization program. So you've seen an improvement in their cost structure which has definitely supported their EBIT delivery in the year as well. So despite the fact that they had headwinds in growth, being part of the rationalization program definitely meant that they can keep a very good performance on the EBIT level.
Viktor Trollsten: Okay, that's clear. And perhaps just one final if I may, but on Geosystems, it seems that heavy construction and surveilling is down some 8% year-over-year in 2024, which feels like quite a large number for building Hexagon. And now it sounds like some manufacturing companies are starting to see green shoots within call it construction and infrastructure, especially in the US by end Q4, you have talked about some market trends, but have you seen any green shoots in that area?
Ben Maslen: It's hard, Victor, to kind of pick out the trend in one month versus another, right, I mean it boils down to individual contracts that all don't come in. So I think you probably need a few more months to really work out whether there is a trend change in the US or it's kind of bumping along the bottom.
Viktor Trollsten: Okay. Okay. No, that's fair. Thank you very much.
Operator: Thank you. Now we're going to take our next question. And it comes from the line of Erik Golrang from SEB. Your line is open. Please ask your question.
Erik Golrang: Thank you. I have three questions. First one is a follow-up on the same topic here as infrastructure, particularly the US, could you just help us understand your product and selling cycle versus overall infrastructure activity, which obviously has remained quite strong? Then the second question is on cash flow in terms of the non-recurring cash flow, which I guess still relates to the savings program from '23. How much of an impact should we expect here non-recurring cash flow going forward then? And then third question, the selection of Anders Svensson as new CEO would be really interesting to hear what specific qualities or what you sort of have prioritized in that search for a new CEO? Thank you.
Ben Maslen: Hi, Erik. In terms of the infrastructure side of things, I mean if you look at Geosystems products, if you look at the machine control and surveying products, I mean they go into large construction projects. So they obviously go into infrastructure, but also go into large civil projects as well, be that buildings or manufacturing buildings and so forth. So there are lots of moving parts in those cycles. I think we see areas in the US where the market is better and we see areas where the market is weak and it's netted down to where we are today. In terms of the selling cycle, we sell more of our products in Geosystems via channel partners or intermediaries. So it often depends not just on what the underlying cycle is doing, but when they feel confident enough to start replenishing their inventories because they know they can then sell them onto their customers. So as well as what's happening in the underlying cycle, it's also the confidence of the channel. I think the good news is that when we look at inventories, they are -- they're not particularly high with those partners, but I think we're still waiting to see confidence in the cycle come back before it really kicks off renewed growth.
David Mills: And then on the cash flow question, you're right, yes. The non-recurring cash flow is the utilization of the restructuring, as you say. In terms of what do you expect or what should you expect? We're well through the program, but clearly the cash does lag. If we said circa 70% of the cash had probably moved through in this year, that should give you an indication of what's remaining for the balance of next year.
Norbert Hanke: Yeah. And the third question regarding Anders Svensson, he has a track record for shareholder value to increase and as well for growth, which I think is important for us as well. On top of things, he is very familiar with M&A and Hexagon is having a good record on M&A, so that fits perfectly, plus he is used to a very decentralized organization, which is the case for Hexagon as well. So in my side, a perfect fit.
Erik Golrang: Very good. Thank you.
Operator: Thank you. And now we're going to take our last question for today. And it comes from the line of Nay Soe Naing from Berenberg. Your line is open. Please ask your question.
Nay Soe Naing: Hi, good morning. Thank you for my questions. I've got two please. The first one is on the product launch cycle. We've spent the past two years had quite elevated R&D and CapEx levels. We started to see some product launches and then those contribution towards top line as well. I'm just wondering how we should think about growth contribution from product launches going into '25 and then if we should expect any more product launches in '25 and '26 as well, please? And then second question is around M&A outlook we've had, you've been quite busy in the market recently, but if we look at your M&A growth contribution trend in the past three years and then the level that you need to hit for your mid-term guide, there still seems to be a bit of a gap. So should we expect some larger deals in the next two years before we get to the end of '26, please? Thank you.
Norbert Hanke: Regarding the product launch, first, from our point, we, particularly in this year in 2025, will see major product releases as well. And I invite you as well to Hexagon Live, because there you will see some things starting up to show, in a sense, and here and there we will have some major product launches even before that. So I think there will be a series of various things happening, particular around June, July time, in a sense.
Ben Maslen: And M&A, yeah, you're obviously right. We had a busier period over Christmas, but I think the pipeline still looks good for this year. We're not some -- we're not using M&A in a sense that you have to hit that target, right. It's do they fit with the strategy, can you create shareholder value for doing M&A, so there's no additional pressure. But, no, I think the pipeline looks good. A lot of interesting targets, and we'll see what happens over the rest of the year.
Nay Soe Naing: Super. Thank you.
Operator: Thank you. Dear speakers, there are no further questions for today. I would now like to hand the conference over to your speaker, Norbert Henke, for any closing remarks.
Norbert Hanke: Yeah, thanks a lot for joining this conference call. And, yeah, have a good day as well. All the best.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.